Operator: Hello everyone. My name is Melinda; I will be your conference operator today. At this time, I would like to welcome everyone to the Africa Oil Fourth Quarter 2021 Results Call and Webcast. All lines have been placed on mute to prevent any background noise. After the speaker's remarks there will be a question-and-answer session. [Operator Instructions] Please note that this event is being recorded. The recording will be available for playback on the company's website. I would now like to pass the meeting to Mr. Shahin Amini, Africa Oil’s Investor Relations and Commercial Manager. Please go ahead Mr. Amini.
Shahin Amini: Thank you, Melinda. On behalf of management, I thank you for joining us today for our fourth quarter 2021 results call. I’m joined today President and CEO, Keith Hill; our Chief Financial Officer, Mr. Pascal Nicodeme. And they will both present and quarter’s highlights and the business outlook before we go into a question-and-answer session. I would like to remind everyone that the remarks made during this session are subject to forward-looking statements which involve significant risk factors and assumptions and have been fully described in the company's continuous disclosure reports. The information discussed is made as of today's date and time and Africa Oil assumes no obligation to update or revise this information to reflect new events or circumstances except as required by law. The company's complete financial statements and related MD&A are available on the company's website and on SEDAR.  I will now hand you over to our CEO, Keith. Keith, please go ahead.
Keith Hill: Thanks everybody for joining us. Obviously, we were slightly surprised with the opening of the market today, but all the people calling in, obviously see, we've got a great buying opportunity ahead of us. I think we actually were quite pleased to announce the results and I think we've actually made pretty good progress on all the fronts that we've been talking about for some time. I think starting with the financials, we had a record full year net income of almost $300 million or $0.40 a share. We've made a huge amount of progress on our debt reduction initiatives where we end debt free and with cash of $60 million at the AOI level. But we've also reduced primes debt significantly. So, we're down to a debt EBITDAX ratio of 0.4 times. And again, we've announced our share dividend, our first implementation of our shareholder return program, which seems to be maybe some of the cause of consternation among some of the investors and we’ll have a good wholesome talk about that. Again, from a debt standpoint, we refinanced our debt that we had taken on to do the Prime acquisition much lower cost with an extended term. So right now, we have an undrawn $100 million facility, which we can use till the end of the year, and it gives us liquidity headroom. Also, I think, we find it very good in today's climate that we've got a very support from our banks and from oil traders to move not only this project forward but looking forward to other projects we may do.  Perhaps the biggest announcement we did, and I think for a lot of the movement in our share price last week was – we’ve opened a new basin in the Orange Basin with the Venus discovery. Early days yet on Venus, but it looks like it could be a very major discovery that not only are we positioned well in this block, but we have other blocks in the region that could benefit from this as well. So, quite happy with the results of that well. I think we had too big risk going in did we have good quality reservoir and was it oil or gas? And we proved that we have a very good reservoir section, and we have the – and its light oil, not gas. So, I think we'll talk about it. And again, production wise Nigeria seems to be just rolling along. We've hit the top end of our interest. And we've had for the second year in a row over a hundred purchases a day we bought them two years ago So, I think if you look at the true measure of performance of Nigeria as we keep saying, it's the gift that keeps on giving the, the orange line you see is our dividends. And you can see we've got a very good, steady dividend yield of $400 million since we bought the fields almost two years ago. But also want to pay some attention to that gray bar as well. So compared to the slightly under a $100 million we had when we bought the company in the bank there, we now have an additional $189 million. So, if you take account of that, we've actually – you add that to what we've received at dividends. We've more than paid for our acquisition cost in less than two years. So again, I think, this has been a really good acquisition for us. And I think it's again going to be our core producing project moving forward with no signs of waning. Again, I think much of the chat we've seen since we announced our dividend policy today was that perhaps it's a little on the low side at 2.5%. So, I guess I want to make a few comments on that. Number one, we actually decided on this dividend amount back in December, and it was about a 4.5% percent dividend at that time. So fortunately for us, our share price has gone up 55% since the beginning of the year. So, it actually looks like a smaller dividend, even though the actual amount of dividend is the same. And I think the second comment I made is we see this as kind of a baseline dividend, this $0.05 share. Obviously as we talked about, we've got a lot of money tied up still in Nigeria both in cash on the balance sheet, but also, we have a $305 million securitization agreement payment that's sitting in the bank there. We hope to liberate quite a bit of that cash out of Nigeria in the second half of this year. So, we'll be looking at that dividend policy. And I think there's a good chance we will be looking to increase as more free cash comes through. But I think what the other – the last point I want to make is that this is a decision to pay a dividend, but it is not a decision to stop growing the company. We do purposely keep some of our cash back because we do still feel that even in this $100 oil environment, there are some really good acquisitions out there and we are involved in that in evaluating and even bidding on some of those now. So, I think we want to keep our powder dry to do some accretive acquisitions, primarily production, primarily West Africa, primarily from majors. And obviously what we would like to raise as little equity as possible. So, keeping cash on the balance sheet, combined with the traditional debt, combined with some trade financing, I think, we can probably buy things without having to go back into the equity market. So again, first dividend, maybe slightly lower than some people might like. But I think we thought it was important to show the market we have that capital discipline that we will start returning cash to shareholders. And then we would hope to see that dividend grow throughout the year, as we particularly start freeing up some cash from Nigeria. So, the promises we made last time – last year, this time was our first promise was de-leveraging. And I think we've definitely done that. I think we've not only cut our debt down to zero at the AOC level, but we've cut the RBL debt down to about $0.8 billion. So, we've paid off just about a $1 billion of RBL debt over the past two years. I haven't closed a new acquisition opportunity. I've tried on a few and as we said, we still get a few more. I think that's a real goal for us for the rest of this year is to get a doing accretive, to find another Nigeria type acquisition. And I do think they are out there. I think there's more sellers than buyers, and I do think it's still a buyers’ market out there even at $100 oil. We may have to craft or bid a little more intelligently and maybe get a little of that upside back to the seller, but I do think we can still make deals at $60 oil price and still have a possibility of close.  And again, we have instituted our shareholder return program. I think we see this as kind of first step; we'd look to increase that, or even potentially look at share buybacks in the future. Again, just to show the entitlement production working inter production for this year, against, strong for performance, we're at the upper end of the range, both at working interest production and entitlement production. We are also well over the top of the range on our free cash flow from operations. The big orange – darker orange bar you see on the left that's that securitization payment we've got from Equinor on the redetermination of, of block OML 127. So again, that money is a little bit locked up right now. We still have to have some discussions with our friends at Petrobras, but we hope to unlock that money by the middle of the year and have it available for dividend. So again, we were above our guidance on 2021 and we expect equally strong guidance on cashflow from operations in 2022 – or in 2023. So, CapEx, we were slightly below. And we have been kind of putting CapEx back for the last couple of years. I think you'll see, when we go to the next slide, we are going to start spending some of that CapEx. These fields do need some care and maintenance, and we will get back to them drilling some wells, in Egina we will be getting back to drilling some wells, some of the satellite fields and even in Agbami we’ll be looking to drill some wells either late next year or early the following year So, I think again these fields are great fields, but they do need a little bit of investment to keep them going at the level they are. So, our guidance for next year working interest production, we have a range from 22,500 to 25,500; entitlement production from 23,000 to 27,000 and that's slightly down from this year as we saw some of the fields decline. But again, I think with the capital investment, we we're hoping to kind of arrest that decline, or even in some fields actually raise that. Cashflow, again similar to last year. If you take out that securitization payment, well roughly the same cash flow as last year. And I think our CapEx will go up a bit this next year. And we still have a pretty strong debt repayment program that we will see coming this year. That is one thing we hope to put off by doing a license renewal and early nice license renewal, especially in OML 130. And if possible, we'd like to get our debt re-done on set licenses renewed, and essentially push all of this net debt repayment into the future. So again, fairly modest for the company, a little bit of money in Kenya, which we'll talk about, but again, we try to keep a fairly low G&A profile. And we do see a bit of equity investments in some of our companies, particularly following-up on the Venus discovery. So again the financial highlights at this point, I'll turn over to Pascal, let him walk through the next few slides.
Pascal Nicodeme: Yes. Thank you, Keith. No, as Keith mentioned, I think it was a record year last year. We've posted $119 million of annual net income, which is great achievement with on average more than $45 million of net income on a quarterly basis. I think the main achievement last year has been that we fully repaid our debt. So the acquisition that that we signed when we did this Prime acquisition has been fully repaid. We end the year with almost $60 million of cash balances. Of course all these figures are underpin by a very strong performance at prime level on the production and price basis. Thanks to our hedging policy. And we booked in the fourth quarter of 2021 profit from investment in Prime of $56 million. Thank you. And yes, as I said, so very strong performance from Prime, not even taking into account the security deposit that we receive in June last year, which is basically more than $150 million net to what’s shown in Prime. Prime has continued to deliver in terms of EBITDAX on a 12-month basis. Not to us, it's more than $600 million of EBITDAX. They've continued to repay their RBL facility, which is – which is below 1 billion now and they end 2021 with cash balance of more than $500 million. And that – I think at that level, I think that the main achievement has been, as I mentioned, the full repayment of our debt facilities. And on top of that, we managed to increase the availability under our corporate facility up to $100 million, which is available for general corporate purposes including acquisitions. So we are really keeping this line as a standard line to be able to fund future acquisitions. And at very competitive terms, we basically secure that standard line with our existing syndicated banks, five banks, which are hopefully going to support us going forward in our acquisitions. So if we can move on to something a little bit more exciting now, exploration, which of course everyone knows is that the underpinning the core [indiscernible]. I think we've had an active expiration program for the past few years, mostly through our portfolio companies. And we've had a couple of nice discoveries. I mean, I think the Luiperd and Brulpadda discoveries at 11B/12B were phenomenal discoveries. And I think our friends at Africa Energy are working to move those forward. I think we had a couple of discoveries in Guyana that looked pretty good. And then they turned out to be a little bit heavy and sulfur rich, but we still think Guyana's [indiscernible] is a great place to look for hydrocarbons. Obviously it's the best place people have had in the last two decades to find oil and gas. So we still have a position there and our sister company Eco Atlantic is, is working on improving that position. But the big one of course is Venus where we finally drilled our well there and looks like we've made a real world class discovery. So again, the – it's a huge structure. The whole structure is about 600 square kilometers. The harder they find itself is about 400 square kilometers. And the very strongest reflectivity right in the middle is about 150 square kilometers. So it's a beautiful discovery. Again, the two risk we had was gas and oil is now confirmed to be Light Oil with associated gas. And the reservoir quality is much better than we expected. Not only is it about twice as thick as we expected, but it's actually better quality than you expected. So I think the – we only have a 6.2 indirect interest of this, but we're not in a position to talk about resources. We'll leave that for the operator and for impact to do, but obviously you've all probably seen some pretty big numbers being banded out in the press. And, I think the – our feeling is those are not unreasonable numbers for what we've seen so far. But, I think what for – what we like about it is there's also right next to us, 40 kilometers away, the Graff Discovery by Shell. So again, they found what we think is a very large oil field and kind of to underpin that they actually took the rig, resupplied it and brought it back and they're drilling out an Appraisal well, which is eight kilometers away from the Discovery well. So that gives you a bit of a idea how big this thing could be. We also have quite a nice block called 3B/4B, which Africa Oil is actually the operator and our partner owns a headcount of 20% working interest. We see a lot of the same type of things on that, that they saw at the in the Graff Discovery. I do think it's interesting if you look at that little inset map down on the bottom left, that's actually Guyana Suriname basin at the same scale as the Orange basin. I think it kind of shows you just how big the Orange basin is. You can fit the entire Guyana Suriname protect inside block 3B/4b. So now that we de-risk this Delta, this is one of the big five Deltas of West Africa, and the only one that really hasn't been explored yet. And I think – I think now we're seeing that it's got a huge potential now that we've confirmed that the petroleum system. You also see on that, there's a block on the far right? The two block 2B, which is again an Africa Oil, sorry, Africa Energy, and a Eco block. Eco has just recently taken over a company called Azinam. So they have 50% interest in operator, and of course, Africa Oil has the Africa, sorry African Energy has a 30% working interest. So we have a very good interest in this. We will be drilling a well there, and hopefully spreading in the third quarter. And this is not related to the Venus Discovery or Graff Discovery. This is actually a rift basin, which actually looks a lot more like Kenyan. And it already has a well that's proven the petroleum system there so. Again, we're quite – we're quite keen on that well and I think it has – it's not as big as some of the stuff offshore, but it has great economics because it's in shallow water with good terms. So again, we still remain very keen on expiration and I think you'll see us following up our investment in Venus and staying on that. So I think we're quite keen on that. All right. And Keny. Kenya seems to be the forgotten child here in Africa Oil. And I kind don't blame investors on that. We've been at this for a long time. I keep telling everybody here, it's a great project and that we are – we're moving forward on this and we have a very good chance of moving this forward. I can't blame people for not believing me after all these years of making those promises. But I can tell you, we are quite engaged on this. I was in Kenya last week. We have a couple of interested – very interested parties, and I think the chances of getting the strategic partner we've been looking at for the past few years is getting closer and closer. I can't make any promises, and I can't disclose who it is. But I think we're actually getting pretty excited that we're finally going to get over the lump on this and actually move this project forward. So again, the proof is in the pudding. If we have a partner we're hoping to announce sometime in the second quarter. But the stars seem like they're finally aligning on this, and I think we've got a good chance of actually putting some value into the company on this. I can tell you right now, there is no value in for Kenya in our share price. But if we're able to pull this off, I think this is going to be worth at least $1 probably more a share to the company. So I think when we talk about Africa Oil, you probably saw our reserve report. Right now the Nigeria project under itself is worth about $1.4 billion just based on $50 oil. And I think if you take the debt off that we which is now only kind of a net debt in 10BB. You get about a 1.2 billion valuation just for Nigeria, which of course is significantly lower above our share price today of about 900 million. So I think if you – I believe I've said this before you can have the ability to buy Africa Oil for Nigeria, have a good stable investment, which is now a cash flowing dividend paying project, but you get the rest of this all for free. So not only our expiration portfolio companies, which of course now there's probably a pretty big value associated to our Venus Discovery. But you also get Kenya for free. So, I mean, I think that's – if I'm looking to buy Africa Oil shares, I think that's the way I think about it. It's somewhat of a risk free investment on Nigeria and you get all the other stuff at no cost. And I do think obviously now that we make the Venus Discovery, I think you'll see us adding more value in expiration. So this is our catalyst that we see in 2020. So obviously we're hoping that the total goes as quickly as possible to go out and appraise these – this discovery. So we have a better understanding of it that puts a work program forward to see. I like to think this could be one that could be developed quite quickly if you take the – why is the analogue in Guyana. They were four years from the first discovery well, to being on production. I think that's what we'd love to see a similar type program on Venus. We're also at Gazania well, which will have the results of this year. Again, should be splitting sometime in the third quarter. And then Prime, the biggest thing in Prime for us is converting the license to the New Petroleum Investment Act, which automatically – which comes automatically with a 20-year license renewal. So once we do that, then we can refinance the RBL and all the money we've been thinking about paying back to the banks. We can actually keep or use for either distributions to shareholders or to buy assets. So again that's my – one of my big focuses now is we're looking at producing assets again. I kind of would prefer to buy things in the $50 oil market, but I still think because it's really a buyer's market, there's still a number of good assets that the major groups are selling off. And again, I think there's a lot more buyers than – a lot more sellers than buyers in there. And then finalizing Kenya, I mean, I think Kenya most people take – I believe when I see it approach, but I can tell you over the last year the operator Tullow, and myself and our partner Totale have been working very hard on getting a project in shape and then working hard for a strategic investor to find anything that move this thing forward to development. So that's pretty much all I had to say. I'll let you read the forward looking statements at your ledge and just want to thank everybody once again for dialing in. And I think we're now ready for with your questions.
Operator: Thank you. [Operator Instructions] And we take our first question from James Hosie with Barclays. Please go ahead. Your line is open.
James Hosie: Thanks. Good afternoon and good morning everyone. Yes, I've just got a question on your refinancing plans for Prime. It certainly sounds like doing the license extension is a prerequisite to refinancing the RBL. I'm just wondering how you manage the need for your partners and those licenses to also look to extend the license and move to new fiscal terms?
Pascal Nicodeme: Hi James. We are basically already have taken all points in relation to the refinancing. So I wouldn't say that the license annuity is a prerequisite. We are thinking about structure together with Prime in order to refinance the RBL before license is renewed. And you probably saw that we've closed last year this pre-export facility that already extends beyond the license renewal date. So refinancing the RBL with other type of debt is not impossible at this stage, and we've already done it. So I think the purpose for this year is really to continue to reschedule the optimization profile of the RBN and extend it beyond the license renewal date. So I think this is work-in progress. I'm not saying we are going to refine the full RBL in one go, but at least we are going to continue to arrange these additional trenches and move the debt repayment profile beyond the license renewal date. And as far as the actual renewal is concerned, like, I mean, Keith can tell you more about this, but the operators both on OML 130 and OML 127 have started the discussions with an NPC and the DPR to get the license extend. And of course it's a sort of win-win situation where as soon as you extend or you convert into PIA, I think it's in the interest of all parties to get early renewal of these licenses and move as soon as possible to PIA.
James Hosie: Okay. It's just…
Keith Hill: I think extension on 130, we see as much easier. I think 127 has some complications with the local partner. So I think that one will be a tougher one. But I think as Pascal said, I think everybody has the incentive to move forward. For us the important one is 130, I mean, 80% of our reserves production, cash flow come out 130. So that's the more important one for us.
James Hosie: Okay. Thank you. And just one further question on Kenya, and certainly sounds promising if you feel you could have used these on a farm in Q2. I was just wondering we should be expecting that farm to involve any cash coming to Africa Oil, or is it essentially you're looking for carries through the initial development work?
Keith Hill: Yes. I think we're kind of agnostic as to whether it's cash or carry. I think the interested parties we've been discussing with both – have offered both and frankly it doesn't really matter to us that much. So, I think the dollar amounts are the important thing whether it's paid up from, or whether it's carriers is less important.
James Hosie: Okay. Thanks very much.
Operator: Next we go to the line of Nick Stefanou with Ren Cap. Please go ahead your line is open.
Nick Stefanou: Hi, it's Nick from Ren Cap. Thank you for taking my questions. I've got three to ask please, two on PIA and one on hedging. Have you done an internal exercise to see maybe what's the valuation or kind of like free cashflow uplift if you could get, if you confirm to PIA terms? That's the first question on that topic. And the second one is, I recall when the bill was out, it was supposed to be effective 1 of January last year. Is there a chance you can make an argument for kind of like physical terms actually going back and then making kind of like tax kind of like claim on that, or is it kind of like it would just be affective as of when parties convert to the fiscal terms? So, these are the PIA questions. I'll ask a follow-up. Thank you.
Keith Hill: Yes. So, we've done economic analysis of converting the PIA and we see about to 10% to 15% uplift in our NPVs. One of the reasons is of course, we've got Egina field, which is a new discovery and it's still on royalty holiday. And [indiscernible] is a new development which will have royalty holiday. All of those are kind of encapsulated in the PIA. But there's a majority of good points coming into the PIA, which is a change in taxes from 50% down to 30%. And I think there's a number of other positive things associated with the PIA. I don't believe there is anything with going back. In fact, once you convert to the PIA all past disputes are considered settled. So, I think that's one thing that in 127, I think, they're thinking about there are some outstanding disputes that might have to be settled before that gets converted to the PIA. But in general, we see it as a very positive thing for us. We see a increase in value by adopting the PIA.
Nick Stefanou: Understood. And then on the hedging should I think of your policy as you will sell forward at whatever the curve is say for the cargos, for the following quarter? So, for example, I think, you are hedged [ph] for the entire of the first and second quarter. Then should I expect that in the second quarter, you will sell forward your 3Q and maybe some of the 4Q cargos at what the care will be at that point in time? Is that how the policy works?
Keith Hill: Yes, on the hedging policy which is something that the bank support as part of our RBL. It's about trying to maintain a little financial discipline. Obviously in the first half of this year we probably lose a little bit on our hedging. I will tell you in 2020 we make $430 million gains on our hedging. So, I think what we see in hedging is an instrument to kind of smooth out cashflows a bit. And it's also something the banks want to see. So, the current policy is we tend to hedge between 50% and 60% of our crude. And the way the market is right now, you can't really easily hedge out at a reasonable price too far out. So, we tend to hedge the closer crudes. The last one we hedged was at $88. But I think we're holding drive. For the second half of the year, we've got four unhedged cargos. I think given what's happened in the world, I think, we may hold off. I try to get a better price for those.
Nick Stefanou: Okay. Thank you.
Operator: Next we go to the line of SpareBank 1 Markets. Your line is open if you'd like to state your name prior to asking your question, please.
Teodor Nilsen: Yes, good afternoon. This is Teodor Nilsen from SpareBank 1 Markets. Thanks for taking my questions, and congrats on a strong 2021. Three quick questions. First one, that, that is actually, maybe not that quick, but on marine discovery, I know it's early date, but is it possible to discuss some potential development solutions and maybe indicate the production potential. Second question is on dividend policy. If I go to right Keith, you said that you're looking for increasing your dividend throughout the year, and then how should we interpret? Will you look at dividend as a percentage of cash flow or EPS or how should you move dividend through year? And last question is operation cash flow and guidance you provided for Prime operation flow, what is the underlying oil price assumption or hedging assumption for that guidance? Thank you.
Pascal Nicodeme: [Indiscernible] So, maybe taking in the opposite order, the easy one is we use the forward curve on the cash flow assumptions for Prime. $60 flat, essentially in long-term price. And then we use the hedge values do the short term. So, whatever we've hedged plus basically what the forward curve is, for long-term $60 price. Sorry, I missed the two questions. I'm getting old Teodro. Remind me again the question number one.
Teodor Nilsen: Yes, the first question was on Venus discovery, and potentially development solutions and production potential. And the second one was on dividend.
Pascal Nicodeme: So, Venus production, I think, it's way too early to talk about that. We’ve drilled one well, we need to, I think, the plan is probably to drill a couple more appraisal wells and there's also other prospects in not only in that block, but in the west Venus block. So, I think until you drill those as wells obviously, we're quite happy with the first well. But you'll need a couple more wells to prove that it's a huge area. You need to prove that that reservoir is continuous over that whole area, and then you can make your development decisions. But there is a Wood Mac report that's out in for those that have access to it; it kind of gives their idea of it. But honestly, I think, it's just a bit early to make those kind of suppositions around what we're going to do. I actually didn't understand you on the second one. 
Teodor Nilsen: Well, the second question is dividend in the long-term loss of 2022, should we think about that as a percent of EPS or cash flow? [Indiscernible]
Pascal Nicodeme: Take that $0.05 a share as kind of the base dividend. When we announced that as I said before it was like 4.5% yield on that since our share price went up actually, the yield went down quite a bit as a result of that. But way we see it as kind of five senses our base dividend going forward. But each time we have a semiannual dividend and every time we put a dividend going forward, we'll take a look at that. And I think you'll see that as a minimum, but we do want to return excess cash to shareholders. We also want to do acquisitions. So, I think we need to keep that in mind.  The big thing is that in the second half of the year, we probably see quite a bit of money freeing up from Nigeria. So, we'll have a much of bigger pool of cash too and wish to take that dividend. Again, we'd like to see a bigger dividend going forward but we do also want to make sure that we take advantage of acquisition opportunities.
Teodor Nilsen: Okay, understood. Thank you.
Shahin Amini: [Indiscernible] and Keith there's a number of questions submitted through the webcast. And there's as always quite a few. So, I'm just going to go in order. The first one submitted in fact, before the pool started. Has the field development plan for Kenyan project been well received? And do you expect any changes that are necessary to make it a plan?
Keith Hill: So, yes, that was quite – we spent a lot of time talking about that when I was in Kenya last week. I think that in general, everyone is very happy, both the joint venture partners and the government with the overall development plan, there were a few tweaks to be made sure we called. And I think we're now working through those with the government. The potential partners that are coming in, the people that are looking at it, I think, are also quite happy with that development plan and would take it as it is going forward. So, I think the process is that by May 5, or sorry, May 10 is the deadline for the government to approve, and we're working very hard to make sure that we resolve everything. But right now, I think, we're 95%, 98% of the way there. I would expect it to be on track for approval on the 10 of May.
Shahin Amini: The second, another question is on Venus. Can you discuss appraisal plans for Venus block? Other prospects near Venus block that look interesting. And if the upside case is 600 – is that really the upside case the 600 square kilometers, the full structure is full of hydrocarbons?
Keith Hill: Yes, I think it's best to let the operator talk about that. I mean, frankly, I don't know what Total’s plan as operator is to do it. I mean, when I told you, I think, it needs a couple of development or appraisal wells. I think that's me talking as a shareholder of impact, not even a as a working interest holder. So, I know that we've talked about there are similar type prospects on the west Venus block. So, I would hope that a very active drilling program would commence sometime later this year on both of those blocks. 
Shahin Amini: And following on from that what is your personal preference to go all the way to first oil or look to monetize before?
Keith Hill: As the great American philosopher, Clint Eastwood said man's got to know his limitations. And I think at some point we have to kind of ask ourselves and impact as our investment partner. And this, do we want to be a deepwater developer with some drilling companies? I think the tentative answer is we prefer not to be. But I think we like to follow the COVE model. I mean COVE did a good job. If we wanted to sell this, I think, we need to stay in for a little while and drill some appraisal wells and understand this. I think you get one price. If you drilled one well and have a discovery. I think you get another price if you've drilled some appraiser wells and have kind of a well thought out development plan by the operator ready to go. So I think that'll be our question how long we want to stay in. But I think the answer is we don't want to stay in until first production is it would be my gut feel.
Shahin Amini: We have a question for Pascal. Well, congratulations. And the question, so they are quite impressed by the refinancing understand what credit facilities are. Question is obviously the ESG narrative and climate change is a big headwind for banks lending to oil and gas projects. Do you see that as a problem?
Pascal Nicodeme: I think going forward, well, first, we have the strong support of five banks, which all have expressed an interest to support us going forward in acquisitions. So, I think that's a real positive. I think for all these banks, we tick all the boxes for their strategy, their oil and gas strategy going forward. We try to communicate more and more in terms of ESG. We've posted our sustainability report at the same time we've posted AIF yesterday. So, all this is going in the right direction. So, I think in the next 12 months or two years, I think, we will discuss even more with our banks about sustainability linked covenants as part of our refinancing. So that's definitely the trend at the moment. But I think as long as we continue to report on the same ESG line and with the same ESG standards, we should keep the support of our banks. And that's definitely the intention.
Shahin Amini: I think know for the people that are good actors on the ESG side. And especially of course the focus is on the carbon side. I think we will still be investible. I think there are some OECD banks that won't be able to write loans for oil and gas anymore. But I think there's quite a few that will. And I think we may have to look at other markets, Middle Eastern markets, far eastern markets for financing, but I think the financing is there. I think you have to be in the top quartile, I think, we’re on the top decile of ESG performers to be able to attract those type of investments.
Shahin Amini: And there's a question on the Proway and on developed field in OML 130, could you provide an update?
Keith Hill: Yes, Proway is kind of just waiting for us to pull the trigger on it. Obviously it wouldn't come on stream until just before the license extension. So, I think at least one of the partners is quite keen to get the license extension before we pull the trigger. But we've done all the groundwork; we've actually done re-look at it this past year. And we've been able to take three wells out of the development program with increasing the reserves and production. So, I think, we're ready to pull the trigger on there. We've already drilled it; we've already got a development plan with the government. So, I think the only thing kind of holding us up is we we'd like to see that license extension before we pull the final investment decision on that.
Shahin Amini: Right. Okay. Here is a tough one for you, Pascal. Have you considered switching the corporation, the country domicile to UK or somewhere else? Perhaps more tax efficient for dividends in terms of withholding tax?
Pascal Nicodeme: No, we haven't thought about it. I think any change of domicile should go together with a big milestone from action price. At the moment, I think, we're well domiciled in Canada. And we will keep the same structure for the time being.
Shahin Amini: Yes, okay. Well, there is a tough one on South Africa exploration for you, Keith. It's specifically about the cold case, and the question goes, how could exploration program for South African must be hindered by recent cold drilling that on seismic data acquisitions?
Keith Hill: Well, I think we're all a bit surprised on that because I mean, seismic acquisition of this nature has been going on for 50 to 70 years. I think all of the studies indicated has a fairly minimal impact on any aquatic life. And I think we had done all of the necessary environmental impact assessments. So, we’re a bit surprised by this action. So, I think obviously there are court cases, there are court dates coming up to we've appealed this decision. And I think operator Shell will be aggressively trying to move this project forward. I think certainly from a overall environmental standpoint of South Africa the gas that we found in 11B12, be in potential oil or gas found in the Trans Sky Block [ph] where the seismic was canceled, we would potentially be displacing coal fire power plants in South Africa, so having a very positive carbon impact, but also from a social impact, there are still a lot of people in South Africa who don't have access to reliable power. So, I think, ESG is a three-fold thing. It's environmental, social and its government. I think the social side, particularly in Africa, doesn't get enough attention. Less than 2% of all CO2 emissions of the world come from the entire continent of Africa. So, I think while we are all engaged in the transition, I think, we also have to be cognizant that the people in Africa need power, reliable power and that their alternatives either burning coal or deforesting the continent are not viable alternatives. We hope they make the right decision.
Shahin Amini: Very good. There is a question Pascal on Q4 2021 cashflow from operations. And why is it lower than the prior quarters? I can answer that if you like, or…
Pascal Nicodeme: Yes.
Shahin Amini: Yes. So, the reason our Q4 cashflow was lower than is simply due to the timing of the cargoes. So, there is a movement in our working capital. So the cash flow one of the carbon lifting set hasn't been received.
Pascal Nicodeme: Okay.
Shahin Amini: And so that tackles that. And Keith is Egina trading at a premium to Brent currently?
Keith Hill: I don't know. I mean it was at one point $6 premium, because it's very low sulfur, very good quality oil. I think if memory serves, we've sold about three or four cargos from there. I think we still are getting a slight premium, not as much as we were at one point. But I believe Egina still does command a bit of premium to brent. I am not hundred percent sure.
Shahin Amini: There are many questions on dividends versus share buybacks. And we had this experience when we were consulting our friends and investors, and there were accounts that wanted dividends. There was an account that wanted buybacks. So, I suppose I'm going to have this two-way dial because it's going to address a lot of these questions, a lot of people saying, well, you're telling us your, on the value roast, why don't you do a share buyback? And I suppose we've already said we haven't dismissed share buybacks. It is still on the table. We are under-promising and we want to over deliver as the year progresses.
Keith Hill: Yes.
Shahin Amini: And, and I think you know, we actually went out to all of our larger shareholders and talked with many shareholders. And I think it depends on where you are domiciled, which you prefer and probably personal tax situation. I think both are effective. And I think, clearly some people are much keener on one than the other. So that's why we're kind of leaving open the option of maybe doing both.  But I can tell you from our five largest shareholders were all of the opinion we should do dividend instead of buybacks. And I would say amongst the rest of the shareholders, there was still a majority of people wanting dividend over buybacks. But we certainly hear your, share buybacks, especially if we continue to think our shares are under-valued are a viable way to make returns to shareholders in some cases without incurring personal tax liabilities. So, there's not a perfect answer to this. And I think we may look at doing both. But if you do both, you're not making either camp. So, I think it's unfortunately a bit of a lose, lose situation. But again, I think the majority of our shareholders that we communicate with were still in favor of dividend over buy back.
Shahin Amini: As I said a lot of questions on there, hopefully that tackles for today's session. Changing type back towards exploration and Orange basin, and there is a question on Block 3B/4B in the event of a positive technical studies on the back of Graff and biggest discoveries. Is it feasible to think about maybe a wild cat well on the in 2024?
Keith Hill: I would say before that. We have a 3D covering the whole Block 3B/4B that was shut by DHB that covers the entire block that has never had a well drilled on it. And when we look at that and we compare it to what we've seen over the Venus Graff discoveries. We see very similar looking prospects. So I think especially now that the basin has been de-risk, I think we're very keen to move forward as operator towards drilling a well. I don't think we need to see more site, I think we actually can move right into the drilling base. So we do have a 60% partner here with a, which is our local BEE Company and of course we need to have discussions with them and with our other partner Eco Atlantic. The timing and the funding for that. My guess is that point of base that’s going to be a much more competitive place that there may be other people outside of our box. Outside of our current ownership group that might be interested in coming into that box as well.
Shahin Amini: There's a question, [indiscernible] Investor Relations, so I'm going to put it to you first, actually also the job we had this morning, I read previously because you said fire that investor relations, but the question is also your plans for investor relations activities moving forward to tell the story?
Keith Hill: Yes. I think obviously with COVID, we've been a bit hampered on going out in the meeting people face to face. I think that's pretty much over now. I mean, I just took my 59th commercial flight to come here to London since COVID hit. So after my two jabs, my booster shot, I am thank that I for COVID on New Year's Day this year. I'm actually feeling quite good about travel. And I think obviously the world is opening up now, I think. We still have to be a bit careful, but I think the world is ready to move on. So I am off to also tomorrow with the management team to go to – spare back one conference and meet with some individual investors there. And I think we're looking to, I've been missing Sweden, I'm looking to get back to Sweden in the second half of March and have a town hall meeting and meet with some of my investors there. But I think we are going to really start gearing up. I think the one thing we hear from our investors that we need to get out and tell the story a little better. I think we've got a lot of value in this company. But some of it's not that easy to explain. Our whole portfolio expiration company thing just is a complicated thing on how do we get value out of that? We found a big Venus now, what do we do going forward? How do we give value to the shareholders in that? So I think I think it'll be good to eat on the road, meet people face to face and talk through these issues. But obviously we've got a lot to talk about that. We've worked for so long as single asset Kenyan Company. Now we've got a lot to talk about Nigeria. We got a lot talk about the Kenya, hopefully in the near future, and then with our expiration program as well. I still am looking for an acquisition. And I think I think there's a good chance in the first half of this year will kind of have the inside track on at least one acquisition. So once that comes to fruition, we'll want to get on the road and talk about that as well. So I think the bottom line for investor relations is, we need – we've been a little bit hampered by COVID to do that the way we'd like, but I think time now is to get out on the road, start meeting investors and explaining our story a bit better.
Shahin Amini: I suppose, what we'll add to that is my email address is available and I've had many, many good calls with investors with institutional retail. We do listen. So if you send your comments, I always make sure that they get through to Pascal and Keith. We would really like to have a constructive engagement with all our investors, no matter how small or big. So please don't hesitate, please reach out and even whilst switching for physical in person, if you want to have a zoom or a team's meeting with me to explain the results better to, if there's any – whether the facts that are not clear to you, please reach out. I'll be you delighted to help you understand better. And so yes, let's move to the next question. I think we have…
Keith Hill: One more.
Shahin Amini: One more as we're running out of time. It is on acquisitions and someone has said that in the last quarter, you were mentioned three deals in a pipeline. Now you mentioned two? Delta had you destroyed that?
Keith Hill: I'd say, having been doing acquisitions for the last 25 years or so you have to kiss a lot of frogs before you find a prince. And I think one of our acquisitions turned out to be a frog and not really a prince. But we have a pipeline going though, we have dialogue. We still see our best sellers as the major oil company. So pretty much every major oil company that has an interest in West Africa, we're in continual dialogue. And we have two investment banks that are working for us too, that are also in continuous dialogue. So I think we're well aware of the opportunities and think the majors are well aware of our desire to get into the right opportunities. So we'll keep pushing these forward. There will become – some that come forward, some that drop off, but like I said, I think – I think there's a good chance to do a deal even at today's oil price. I think you're going to have to give some of that upside back to the summers. So the last two offers we put in actually had kickers to go back to the seller. The oil prices stayed high, which I think will make it easier for them to do a deal in today's market. But we're not going to go out buying things for $70 or $80 that's just not what we're going to do. We still have $60 oil, that's kind of our baseline and we're going to make money on$50, because law is quite bullish on oil price. Look back the last 20 years and you see what oil price does. You have to be resistant to oil prices, but I think you always want to have upside exposure to them as well.
Shahin Amini: Well, thank you, Keith and Pascal. Unfortunately we're running out of time, but we have some time with us. Please feel free to reach out to me to my email and telephone number on the bottom of every press release. So don't hesitate to reach out. I will do our best to answer your questions as soon as we can. On that note I'll hand the call back to the operator.
Operator: Thank you. This concludes today's teleconference. We thank you for your participation. You may disconnect your lines at this time.